Operator:
’:
’:
’:
’: Any forward-looking statements made during this conference call are not guarantees of future performance and involves certain risks, uncertainties, and assumptions which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements.
’:
’:
’:
’:
’: I would now like to turn the conference o David Sasnett, Executive Vice President CFO and Director. Mr. Sasnett, the floor is yours sir.
David Sasnett:
’:
’: Gross profit dollars for each of our three business segments this quarter increased as compared to 2015, which resulted in a total gross profit increase of about $627,000 for the quarter over 2015 or 11% compared to the same period of last year. I think the gross profit dollars this quarter emphasizes the testament to the quality of our core operations. However, we incurred higher legal costs this quarter as a result of litigation in Mexico, and we have non-cash amortization charges related to our February 2016 acquisition of 51% of the equity of Aerex Industries. That resulted in net income this quarter that was relatively consistent with that of the second quarter of 2015 at $2.2 million or $0.15 per diluted share. Turning to the performance of each of our segments. Our retail segment contributed just over $700,000 to our income from operations this quarter compared to about $760,000 in the same quarter last year. Our revenues in the retail segment increased 2% despite a 4.4% downward rate adjustment that was made the first quarter this year to our rates due to the downward movement in the price indices that are used as a basis for such rate adjustment.
’: Gross profit dollars for each of our three business segments this quarter increased as compared to 2015, which resulted in a total gross profit increase of about $627,000 for the quarter over 2015 or 11% compared to the same period of last year. I think the gross profit dollars this quarter emphasizes the testament to the quality of our core operations. However, we incurred higher legal costs this quarter as a result of litigation in Mexico, and we have non-cash amortization charges related to our February 2016 acquisition of 51% of the equity of Aerex Industries. That resulted in net income this quarter that was relatively consistent with that of the second quarter of 2015 at $2.2 million or $0.15 per diluted share. Turning to the performance of each of our segments. Our retail segment contributed just over $700,000 to our income from operations this quarter compared to about $760,000 in the same quarter last year. Our revenues in the retail segment increased 2% despite a 4.4% downward rate adjustment that was made the first quarter this year to our rates due to the downward movement in the price indices that are used as a basis for such rate adjustment.
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Gerry Sweeney of Roth Capital.
Gerard Sweeney: Hey, good morning David. How are you?
David Sasnett: Good morning, Gerard.
Gerard Sweeney:
’:
David Sasnett:
’:
’:
’:
’:
’:
’:
’:
Gerard Sweeney:
’:
David Sasnett:
’:
’:
’:
’:
’:
’:
Gerard Sweeney:
’:
David Sasnett:
’:
’:
’:
’:
Gerard Sweeney:
’: End of Q&A
Operator: [Operator Instructions] At this time, it appears that we have no further questions. We are going to conclude the question-and-answer session. I would now like to turn the conference call back over to Mr. Sasnett for any closing remarks. Sir?
David Sasnett:
’: